Operator: Greetings, and welcome to the KORE Group Holdings, Inc. Third Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Vik Vijayvergiya, Vice President of Investor Relations and Corporate Development. Please go ahead.

Vik Vijayvergiya: Thank you, operator. On today's call, we will refer to the third quarter 2025 earnings presentation which will be helpful to follow along with as well as the press release filed this afternoon that details the company's third quarter 2025 results. Both of these can be found on our Investor Relations page at ir.korewireless.com. Finally, a recording of the call will be available in the Investors section of the company's website later today. The company encourages you to review the safe harbor statements, risk factors and other disclaimers contained on this slide and today's press release as well as in the company's filings with the Securities and Exchange Commission, which identify specific risk factors that may cause actual results or events to differ materially from those described in our forward-looking statements. The company does not undertake to publicly update or revise any forward-looking statements after this webcast. The company also notes that it will be discussing non-GAAP financial information on this call. The company is providing that information as a supplement to information prepared in accordance with accounting principles generally accepted in the United States, or U.S. GAAP. You can find a reconciliation of these metrics to the company's reported GAAP results and the reconciliation tables provided in today's earnings release and presentation. I'll now turn the call over to Ron Totton, the company's President and Chief Executive Officer.

Ronald Totton: Thank you, Vik, and good afternoon, everyone. For today's call, I'll provide an update on the company's business highlights for the third quarter and then turn the call over to Anthony Bellomo, the company's CFO, to go through the financial results. As we look at our results for the third quarter, we delivered steadily improving operating performance with solid growth and profitability, while revenue held steady. Our revenue for the quarter was $68.7 million. Notably, our connectivity revenue increased 1.7% over Q2 2025, our second consecutive quarter of strong connectivity sequential growth. Adjusted EBITDA rose by 12% or $1.5 million to $14.5 million from Q3 2024, as we stay focused on operational excellence and profitability. Net loss also improved by $6.7 million due to the improved adjusted EBITDA, along with the tax benefit from recently enacted U.S. legislation. Now let's turn to a critical measure of our financial health and operational discipline, our cash flow. In the third quarter, we generated $1.1 million in cash from operations while our free cash flow improved $1.1 million over the same period last year. The steady improvement in our free cash flow profile is a direct result of our disciplined execution and our commitment to building a resilient and profitable business. Our strategy is centered on our 5-pillar value creation plan, and this quarter's results demonstrate that plan in action. On Slide 7, you can see clear tangible proof points on how our focused execution is translating into progress across the entire business. At the heart of our strategy is profitable growth and this quarter, we delivered driving a 12% increase in adjusted EBITDA. This financial discipline is complemented by strong commercial momentum as we secured $11.3 million in new and expansion eARR and grew our total connections to over 20.5 million. This growth is fueled by our commitment to both product innovation and customer intimacy. This quarter, we launched KORE One, our unified customer platform and we completed a limited release of a new connectivity offering, providing proprietary automated switching and enhanced network resilience. With investments in our products, platform and infrastructure and with the launch of a new AI assistant KORE we've seen a greater than 50% reduction in support tickets while continuing to improve our customer E-score. It is this combination of superior products and deep partnership that differentiates us in the market and fuels our sales momentum. Underpinning all of this is our relentless drive for operational excellence powered by our winning team. We're becoming a leaner, more agile company by executing on our facility rationalization plan and aggressively deploying AI tools to boost productivity. Simultaneously, we are investing in our people, launching our internal AI evangelist program and new development tools to build a culture of accountability and continuous improvement. Now let's dive deeper into our KORE IoT Connectivity business on Slide 8. The foundational metric for our recurring revenue model is our connection base, which continued its strong, steady growth. This quarter, we grew our total connections by 9% year-over-year to surpass 20.5 million. This is a direct result of our ability to win new logos and expand our share of wallet with existing customers. Turning now to Slide 9, which illustrates our sales momentum in the forward-looking health of our business. We closed $11.3 million in new eARR this quarter. This is a direct result of our sales team's success in converting opportunities in the committed recurring revenue. This success is well balanced, coming from both winning new logos and expanding our relationship with existing customers and validates our land-and-expand strategy. And looking at our total pipeline, we closed at a healthy $80.3 million in eARR which, as a reminder, is purely connectivity-related opportunities. Our solid eARR closed one and healthy pipeline gives us strong visibility and a growing degree of confidence in our ability to deliver sustained, predictable revenue growth into the future. As we have done previously, here are just four examples from the quarter that showcase how we are winning in the marketplace, highlighting our unique value proposition. First, a major win in fleet management with a leading provider who needed true multi-carrier capabilities and superior economics with our Super SIM technology. But just as importantly, they chose us because we acted as a true strategic partner, building a strong, responsive relationship at both the executive and technical levels. Next, we secured an exciting innovator in the anti-theft space. For their solution to work, connectivity must be flawless. They chose our Super SIM for its resilience and reliability enabling them to remotely access devices for GPS tracking and video transmission across different networks. This is a mission-critical application where good enough connectivity simply isn't an option. Our third win highlights our leadership in the heavy regulated connected health space, a global health care leader selected KORE for their medical technologies initiative. They chose us for our deep expertise our proven compliance framework, including HIPAA and ISO certifications and our ability to provide a complete single vendor solution for hardware, logistics and global connectivity. Finally, I mentioned a win with a fast-growing AI-powered telematics company where they required high reliability for a video telematics and in-cabin sensing platform. While competitors offered lower cost, we demonstrated that the superior reliability, performance and long-term quality of our native SIM technology provided far greater value. They understood that for a mission-critical application, total cost of ownership and reliability are what truly matter. The common thread connecting these diverse wins is clear. These market leaders required more than just connectivity. They needed a global and strategic partner to solve complex IoT challenges at scale. Our ability to deliver resilient technology navigate highly regulated industries and provide a complete end-to-end service are our differentiators. This is why we continue to win marquee customers and it is the engine behind our sustained growth. And now I'll turn the call over to Anthony to cover the financials in more detail.

Anthony Bellomo: Thanks, Ron, and thanks for those joining us this evening for our third quarter results. Total revenue for the third quarter was approximately flat year-over-year to $68.7 million. Breaking revenue down by business lines, IoT Connectivity revenue was flat at $56.7 million. Most notably, IoT Connectivity revenue showed sequential quarter-over-quarter growth of 1.7%, which followed the second quarter sequential growth of 3.2%. This sequential growth is a clear indication that our transformation is producing results. IoT Solutions revenue was down slightly to the prior year at $11.9 million, driven primarily by timing of orders from customers. Overall, non-GAAP gross margin in Q3 2025 was 55.2%, down 147 basis points from the same quarter of the prior year. By business line, IoT Connectivity non-GAAP gross margin was down to 59.6% from 60.9% and IoT Solutions non-GAAP gross margin was down to 34.3% from 37% due to revenue mix. Average revenue per user per month or ARPU for the current quarter was $0.94 compared to $1.01 in Q3 2024. The decrease in ARPU year-over-year was due to the recent additions to total connections coming from lower ARPU use cases. On a sequential basis, ARPU was unchanged from Q2 2025. Operating expenses in the third quarter were $42.2 million, a decrease of $1.7 million compared to Q3 2024 due to cost savings from restructuring actions taken over the last 12 months. Adjusted EBITDA in the third quarter was $14.5 million, an increase of $1.5 million or 12% compared to the prior year. The $1.5 million increase in adjusted EBITDA was primarily attributable to lower operating expenses as discussed. Net loss in the third quarter was $12.7 million compared to $19.4 million in the prior year. The decrease in our net loss was due to a tax recovery as the result of recent U.S. tax legislation as well as the same factors that drove the improvement in adjusted EBITDA as described above. Finally, moving to cash flows. Cash provided by operations in the third quarter was $1.1 million, approximately flat with the prior year period. Free cash flow, measured by cash provided by operations, less cash used in investing activities improved by $1.1 million to negative $1.1 million in Q3 2025 compared to the prior year quarter due to our lower level of capitalized expenditures. As of September 30, 2025, cash and restricted cash was $19.6 million. In closing, our solid third quarter performance is evidence that the company's transformation has begun to take hold. And with that, I'll pass it back to you, Ron.

Ronald Totton: Thank you, Anthony. As you may know, we recently announced that KORE received a letter from two existing investors in the company, Searchlight Capital Partners and Abry Partners on behalf of each of their affiliated funds. The letter indicated an interest in entering discussions to acquire all of KORE's common stock, not already held by Searchlight and Abry. In addition, KORE's Board of Directors has formed a special committee to review, evaluate and negotiate a potential strategic transaction and any alternative. The potential range and timing of outcomes from the strategic review process, make it difficult to continue to provide an outlook that would meaningfully represent the range of expected outcomes. As a result, the company is suspending guidance for the remainder of fiscal year 2025. With that said, I want to emphasize we continue with business as usual with full attention on delivering innovation and service to our customers and working closely with our partners. I would like to express my deep appreciation and gratitude for our global KORE team. You've demonstrated an incredible focus on execution and innovation, not only by securing key wins but by doing so with a discipline that strengthens our entire business. I'm proud of the work you do every day to serve our customers and move our company forward. In closing, overall, we had a solid quarter. We improved our profitability, produced the second sequential quarter of strong connectivity revenue growth and continue to stay focused on managing operating expenses. Thank you, everyone, for joining today's earnings call. We look forward to updating you next quarter on our progress in the fourth quarter of 2025 and our full year results. Have a good evening. Thank you.

Operator: This concludes today's conference. You may disconnect your lines at this time.